Operator: Welcome to Netcompany's interim report for the first 9 months of 2025. Today's call is being recorded. [Operator Instructions] I would now like to introduce CEO, Andre Rogaczewski; and CFO, Thomas Johansen. Andre, please begin.
André Rogaczewski: Good day, and welcome to this presentation of Netcompany's results for Q3 2025. My name is Andre Rogaczewski, and I'm the CEO and Co-Founder of Netcompany. And I'm joined today by our CFO, Thomas Johansen. Before we get going, there are some important disclosures that I need you to read through. So could we please have Slide #2. I will pause for 30 seconds here and let you all have a read-through of these important disclosures. And with that, can we please go to Slide #3, please. The topic of today's presentation is our performance for Q3 2025. I'll start by walking you through the business highlights for the quarter and some of our recent launches. Once I'm done, Thomas will go through the financial performance, including our guidance for 2025 and long-term targets before we open the call for questions. And can we have the next slide, please? The future does not belong to traditional IT consultancy companies building solutions from scratch, but rather to European platform companies using components and products and AI to deliver in a fast, reliable and responsible way. In 2023, we launched our product and platform strategy, embracing this development, and we are strongly positioned to take market share from more traditional players. We have clearly differentiated our offerings from our peers, which is also why we continue to grow. An example of a recent product launch is VERÁ based on our PULSE technology. The launch is happening in a time where European governments, institutions and large enterprises continue to focus on European digital sovereignty through European solutions developed and hosted in Europe on European data. VERÁ is a critical solution for European defense and resilience, providing AI-enabled awareness, prediction and response. This is a vertical we have invested heavily in within the last 12 months, and our ambition with VERÁ is to become a preferred European vendor and a trusted partner in a time of change. Another example of where we have differentiated our offerings is within real estate, where we have commercialized our offerings and launched AMPLIO Estate. AMPLIO Estate is a new solution for property management companies that aims to set completely new digital standards for property management across Europe, moving away from mere administration to real automation and new process support driven by AI. Our solution for the life and pension industry, AMPLIO Life and Pension is a third example of launching vertical solutions on AMPLIO. Very fundamentally, all of our launches and products and platforms are AI-ready. But AI is also a fundamental part of our own delivery model, and it's mandatory for all employees at Netcompany to use our digital assistant, EASLEY AI to ensure that we continue to evolve and stay competitive. EASLEY AI knows about Netcompany deliverables and methodology and will assist our employees in designing, building, testing and running our systems. At our Capital Markets Day tomorrow, we'll elaborate further on these topics. And can we go to the next slide, please? We closed the SDC transaction on the 1st of July with the merger of SDC into Netcompany Banking Services. In Q3, we have commenced the integration of Netcompany Banking Services into Netcompany Group. The integration efforts are progressing faster than anticipated, and I'm thrilled about the opportunities Netcompany Banking Services give us within the financial service industry. We can already see now that the combination of deep subject matter expertise within former SDC, combined with Netcompany best-in-class IT development capabilities will offer the customer solutions that are unmatched in the industry. We look forward to accelerate the partnership with our banking customers in the future, and we will already, in this quarter, be launching new AI initiatives benefiting our customers. Thomas will give you a detailed walk-through of the NBS numbers in his part of the presentation. And can we have the next slide, please? And now I mention some of the contracts we have won during the third quarter. In the public sector in the Netherlands, we have been selected as a strategic innovation partner for the development, management and implementation of a new shared registration system for 3RO, the three collaborating probation service organizations in the Netherlands. The system is based on our AMPLIO platform. In the Danish private sector, we have entered an ambitious strategic collaboration with Heimstaden Bostad, PHM Group and Thylander. Together, we will introduce a new revolutionary European property management system built on top of Netcompany AMPLIO and with AI deeply integrated into core processing with EASLEY AI. This is the first contract for our newly launched AMPLIO Estate solution. The Scottish government have selected Netcompany to build a digital communication infrastructure for Scotland and its citizens. The ambition is to enable broad digitization and interoperability of digital solutions and communication flows in Scotland, thus driving innovation and efficiency in the digital government, gradually replacing a large part of the analog processes of today. The solution Scott Account mailbox is built upon Netcompany's AMI platform, which is extended and customized for the specific needs and the digital ecosystem of Scotland. And can I have Slide #7, please. Also in Netcompany SEE & EUI, we have signed several new contracts in the third quarter of the year, of which we have highlighted a few here. In the public sector in Greece, we have entered an agreement with the technical Chamber of Greece. The project includes creation of an integrated system that will use new GIS and AI technologies and high-resolution aerial photography to effectively identify cases of unauthorized construction. Also in the public sector in Greece, we have signed a contract with the Independent Authority for Public Revenue, IAPR, where the scope of the contract is to design and develop a new integrated electronic human resources and payroll management system with the aim of digital transformation and upgrading the administrative capacity and operation of their services. In the private sector in Greece, we have been awarded a 1-year contract extension with a leading gaming company in Greece, OPAP, to deliver end-to-end application delivery services, including design, implementation and quality assurance across the core gaming platform. And also in the private sector in Greece, we have been awarded a 1-year contract extension with HELLENiQ to provide support, maintenance and development services. And with that, I will now pass on the word to Thomas, who will give you a walk-through of the numbers. Please go ahead, Thomas.
Thomas Johansen: Thank you for that, Andre. And like already mentioned, I'm the CFO of Netcompany, and I will go through our financial performance for Q3 2025. Also, please bear with us for the added complexity to this particular quarterly report following the inclusion of Netcompany Banking Service into our numbers for the first time. So if we move past the breaking Slide #8 and straight into Slide #9 in one go, please. As of 1st of July 2025, Netcompany Banking Services, formerly SDC, was included in Netcompany Group. This resulted in adaptation of new accounting standards for SDC moving from Danish GAAP to IFRS. The acquisition means that we, in this quarter, have made a full purchase price allocation of the DKK 1 billion purchase price, just as we have made full provision for restructuring costs. Taking a look on the financial performance in the quarter, we grew organic revenue in constant currencies by 8.5% compared to Q3 2024. Currencies impacted revenue growth negatively by 0.3 percentage points, resulting in reporting organic revenue growth of 8.2%. Organic growth was driven by 6.7% growth in revenue from the public sector and 11.7% growth in revenue from the private sector. Revenue growth was supported by all segments, except from Norway. Reported revenue grew 34.3%, of which 26.1% were nonorganic related to the inclusion of Netcompany Banking Services. In Netcompany Denmark, organic revenue increased 4.8% compared to Q3 2024, driven by revenue growth of 14.3% from the private sector, while revenue in the public sector was in line with the same period last year. Netcompany SEE & EUI continued the strong growth for the first half of the year and grew revenue 12.5% compared to the same period last year. The growth was driven by both the public and the private sector that grew 12.2% and 13.5%, respectively. Also, Netcompany U.K. continued its strong growth from the previous quarter and grew revenue 17.4% compared to Q3 2024. The growth was driven by the public sector, which grew revenue by 23.8% compared to the same quarter last year. The growth in the public sector was supported by increased engagement with both existing and new customers, including a continued ramp-up of resources on our engagement with HMRC through the Dallas framework and through other contracts. Revenue in Netcompany Netherlands increased 10% compared to Q3 last year and was solely generated in the public sector. In Netcompany Norway, revenue decreased slightly by 2%, driven by a soft market for IT consulting that generally has been declining over the last 12 months. In Netcompany Banking Services, revenue grew 5.8% compared to pro-forma revenue of SDC Q3 2024. This was a result of increased activity with existing customers. Can we move to the next slide, please? In a market where most of our peers have seen little or no growth, Netcompany grew organic revenue with 7.1% in the first 9 months of 2025 compared to the same period last year. Organic growth was driven by the public sector, including the European Union that grew revenue 8.3% and supported by revenue growth of 4.3% from the private sector. Growth in both segments was supported by our products and platforms and AI solutions. Reported revenue grew 15.7% in the first 9 months of 2025, of which 8.7 percentage points were nonorganic related to Netcompany Banking Services. And can we move to the next slide, please? In Q3 2025, organic adjusted EBITDA before allocated headquarter cost increased 8.7% to DKK 348.1 million, yielding an organic adjusted EBITDA margin of 19.1%, in line with the same quarter last year. Reported adjusted EBITDA increased 17.3% to DKK 359.3 million in Q3 2025. Adjusted EBITDA margin for the group was 17.3% compared to 19.8%. And the explanation for the lower margin is the inclusion of Netcompany Banking Services, which impacted adjusted EBITDA margin negatively by 2.5 percentage points. In Netcompany Denmark, adjusted EBITDA margin was 29.2% in Q3 2025 compared to 28.6% in the same quarter last year, underpinning the margin acceleration that we've seen in Netcompany Denmark. In Netcompany SEE & EUI, adjusted EBITDA margin was 12.1% in Q3 2025 compared to 11.6% in the same quarter last year. In Netcompany U.K., adjusted EBITDA margin was 14.3% in the quarter compared to 10.3% in the same quarter last year and at the same time, significantly improved compared to Q2 2025. In Netcompany Norway, adjusted EBITDA margin was 0.4% compared to 11% in the same quarter last year, and the decline was related to the soft market in Norway. Adjusted EBITDA margin in Netcompany Netherlands was 22.9% for the quarter, in line with Q3 last year. In Netcompany Banking Services, the adjusted EBITDA margin was 6.4%, in line with pro-forma adjusted EBITDA margin of 6.6% in SDC in the same quarter in 2024. And can we have the next slide, please? For the first 9 months of 2025, organic adjusted EBITDA before allocated headquarter cost was 17.5% for the group, in line with the same period last year. Reported adjusted EBITDA margin before allocated costs from headquarter was 16.6% compared to 17.8% in the same period last year. And again, reported margin was negatively impacted by the inclusion of Netcompany Banking Services to the group numbers. And can we have the next slide, please? I will now give a detailed walk-through of the acquisition of SDC and the financial impact of including SDC into Netcompany Group. As of 1st of July '25, Netcompany completed the acquisition of SDC. The transaction was structured as a taxable merger, whereby former SDC was merged into a new company, Netcompany Banking Services, which was established by Netcompany and capitalized with DKK 1 billion in cash and equity. The former SDC reported under Danish GAAP, whereas Netcompany Banking Services will report under IFRS. This results in significant differences in accounting treatment for certain assets and expenses, most notably accounting for leases and own developed software. Under Danish GAAP, leases are accounted for as an expense and hence, included in administration costs. Under IFRS, leases are capitalized as right-to-use assets and amortized over the lease term. Reporting under Danish GAAP, SDC have historically capitalized and amortized own developed software. Under IFRS, capitalization requires a clear relation between the capitalized development cost, future cash flow related here too and a clearly identified delivery obligation going forward. And due to the specific nature of the contract entered into with all the customers of Netcompany Banking Services and the way the total solution in SDC has been structured with more than 300 individual solutions developed, such an obligation does not exist under the IFRS interpretation, even though a significant amount of IP has been developed and established and still exists. Hence, the value of own developed software is substantially reduced in the purchase price allocation from around DKK 750 million to DKK 33 million. The value of the developed software is instead allocated to customer relationships and goodwill. This also means that Netcompany Banking Services will discontinue the previous method of capitalizing and amortizing approximately DKK 200 million annually. Future potential capitalization of development of own software solutions will be based on specific cases where a standard SaaS solution is developed, which will subsequently be licensed. A full purchase price allocation has been performed and based on the assessment of assets and liabilities of SDC, the purchase price allocation leads to the assets and liabilities in Netcompany Banking Services as illustrated in Note 8 in the company announcement. Furthermore, as a consequence of structuring the transaction as a taxable merger rather than traditional purchase of shares, the gain arising from the transaction is taxable for the sellers and the acquired net assets will be eligible for tax depreciation for the buyer, Netcompany. Under the Danish tax law, the full purchase price of DKK 1 billion will be eligible for tax depreciation over a 7-year period, resulting in reduced taxes of DKK 220 million. Also as a consequence of the merger, SDC was required to exit the ownership of JN Data as per the shareholders' agreement. Hence, Netcompany Banking Services received DKK 65 million for the shares in JN Data during Q3 2025. Under the regulations for operators providing "solution" for critical financial infrastructure, JN Data is obliged to continue to deliver unchanged services in quality and price for at least 24 months. If no alternative operating solution is established at that point in time, JN Data will remain obliged to deliver these services. A main reason for the shareholders of SDC to enter the transaction with Netcompany was to accelerate innovation and reduce time to market for new solutions and at the same time, reduce their own running cost. To deliver on that promise, Netcompany has initiated a comprehensive transformation project of Netcompany Banking Services, introducing Netcompany methodologies of working, sharing existing platforms to accelerate innovation for Netcompany Banking services customers and eliminate duplicate roles post-merger. In addition, Netcompany Banking Services will leave its current headquarter in Ballerup and work out of Netcompany corporate headquarter in Strandgade in Copenhagen as of January 2026. The physical move will ensure fast and swift integration and sharing of knowledge and support the integration of Netcompany Banking Services into Netcompany Group even further. During the next 3 years, Netcompany expect gradually to realize cost synergies that by 2028 are expected to be between DKK 300 million and DKK 350 million annually compared to the SDC cost base in 2024. When we originally announced the transaction, we communicated that we expected the transaction to be double-digit percentage accretive to earnings per share in 2028 compared to 2024 baseline. Assuming the midpoint of the DKK 300 million to DKK 350 million cost synergy range, the transaction will add DKK 6.84 in accretive earnings per share combined to the 2024 baseline. This is equivalent to an increase in earnings per share of 71%. As a result of the integration, a restructuring provision of DKK 205 million has been booked and expensed as special items in Q3, covering costs to be incurred towards 2028. This covers costs related to redundancies, lease terminations, termination of contract for services no longer required as well as various other costs related to retention and integration efforts. Another DKK 96.5 million related to impairment of right-to-use assets and other regulations have also been expensed in Q3 as special items, bringing total special items for Netcompany Banking Services to DKK 304 million in Q3, whereas total special items for the group year-to-date totaled DKK 351.2 million, including DKK 35 million related to advisory in connection with the transaction. Can we go to the next slide, please? So in summary, the inclusion of SDC into Netcompany Banking Services have led to significant changes to previous accounting principles and a significant amount of costs have been booked as special items in Q3, supporting the realization of the expected annual cost synergies of between DKK 300 million and DKK 350 million to be reached by 2028. These are summarized in the table shown here. Can we go to the next slide, please? In Q3 2025, we employed an average of 9,482 FTEs, equal to an increase of 1,394 FTEs or 17.2% compared to Q3 2024. 6 percentage points were organic and 11.3 percentage points of the increase was nonorganic as a result of including Netcompany Banking Services employees into the total number. The attrition rate for the last 12 months was 18% for the organic part of the group, which was a small increase of 0.5 percentage points compared to Q3 2024. On a sequential basis, the churn rate was in line with Q2 2025. Furthermore, the 3 months rolling churn rate was in line with Q3 2024. As Netcompany Banking Services is in the initial phase of a significant and structural reorganization, it makes no sense to include data on churn within Netcompany Banking Service into the group numbers at this point in time. Can we go to the next slide, please? Organic free cash flow decreased from DKK 145.3 million in Q3 to negative DKK 11.5 million in Q3 2025. The development in the organic free cash flow was mainly driven by development in working capital and to some extent, also impacted by increased tax payments and increased acquisition of fixed assets. The negative working capital changes in Q3 '25 was mainly driven by increased contract work in progress in the organic part of the group. This was due to timing of milestone payments on projects, mainly within public contracts throughout the group, while the level of trade receivables at the end of Q3 was slightly below the realized level at the end of Q3 2024. Consequently, organic cash conversion rate was negative 7.1% compared to 89.5% in Q3 2024. While cash conversion rate adjusted for taxes paid on account decreased from 59% in Q3 '24 to negative 22% in Q3 2025. Also in Q3 2025, Netcompany Banking Services accounted for negative DKK 44 million of the group's free cash flow, which totaled a negative of DKK 55.5 million. Cash flow is expected to normalize during Q4 and Q1 and the differences in working capital are of timing character only. Days sales outstanding decreased from 70 days in Q3 2024 to 53 days in 2025. Can we have the next slide, please? Organic revenue growth -- organic revenue visibility end of Q3 2025 was DKK 6.7 billion, which was an increase of 6.8% compared to DKK 6.3 billion in Q3 2024. Based on pipeline end of Q3, revenue visibility in both public and private sectors for the remaining part of '25 remains at a satisfactory level, supporting continued growth. Nonorganic revenue visibility from Netcompany Banking Services for the last 3 months of 2025 amounted to DKK 390.5 million. Combined with the reported Q3 revenue in Netcompany Banking Services, revenue visibility for Netcompany Banking Services amounts to DKK 811.4 million compared to expected revenue of between DKK 840 million to DKK 870 million for Netcompany Banking Services for 2025. Can we have the next slide, please? Considering organic revenue growth of 7.1% for the first 9 months of 2025 and taking pipeline and revenue visibility into account for the remaining part of '25, we lift the lower end of the expected revenue growth range from 5% to 6%. At the same time, we narrowed the range and reduced the top end of the expected revenue growth range from 10% to 8%. Consequently, we now expect organic revenue growth for 2025 to be between 6% and 8%. At the same time, we narrow the range for our expectation to organic margin and now expect an adjusted organic EBITDA margin of between 16% and 18% for 2025. We remain committed to the share buyback program of DKK 500 million launched in connection with Q2 2025 report running until the end of January 2026. Can we have the next slide, please? Yesterday evening, we announced our long-term targets, and these are as follows: long-term organic revenue growth for the group throughout any business cycle of between 5% and 10% annually and an adjusted EBITDA margin above 20% for the group to be reached by 2029. The 20% adjusted EBITDA margin is including Netcompany Banking Services using new accounting technologies, meaning that we do not continue the previous methodology of capitalizing around DKK 200 million annually in Netcompany Banking services for development of own software. For the total group, including Netcompany Banking Services, we expect total annual capitalization of costs related to development of own software to be in line with the historic levels for the group of around DKK 100 million to DKK 130 million annually. For capital allocation, we will complete the DKK 2 billion share buyback program by 2026 as originally introduced in 2023. We continue to be opportunistic when it comes to M&A, and we will dynamically redistribute cash using share buyback programs and dividends of all free cash flow while observing leverage, of which we have a target of below 1. We will now open up the call for questions. So if we move to the Q&A slide, please, and open up for questions. Thank you.
Operator: [Operator Instructions] The first question is from the line of Claus Almer from Nordea.
Claus Almer: Yes. First of all, congratulations with a strong Q3. I have 2 questions. I'll take them one by one. The first is to the Banking Service division. When do you expect to be ready to launch some new products that will have a meaningful commercial success outside the existing customer base? That will be the first one.
André Rogaczewski: Thank you, Claus, for that question. So we have already commenced some new services to be launched within the next 3 to 6 months in our customer group.
Claus Almer: And that's for Denmark? Or is that also in a broader European perspective?
André Rogaczewski: That's primarily for Denmark and then Scandinavia.
Claus Almer: Okay. Then the second question goes to Denmark. It's actually two-folded question. So you raised your -- or increase your FTE by around 6%. Does that mean you are running at a full utilization in Denmark?
Thomas Johansen: Yes, it means that the utilization is beginning to be where we want it to be. And just maybe one more comment on the increase in FTEs compared to relative increase in revenue. We are also changing the split in FTEs and thereby utilizing more FTEs outside of Denmark to generate revenue in Denmark. That, of course, has a positive impact on margin. And that's why we can see increasing margin despite the fact that FTE count is increasing more than revenue.
Claus Almer: Okay. And then just more to Denmark. The private segment, which grew quite nicely here in the quarter. Can you share some details on the pipeline and what type of projects do you see in the pipeline?
André Rogaczewski: Yes, I can do that. I mean the private sector is a focus area and has been a focus area for us the last 1 to 2 years, even more than before. And all the engagements we are currently working on, the pipeline is strong and the engagements we are working on are based on our platforms that we use across all regulated industries. And furthermore, we also engaged with looking into how larger enterprises in Denmark can substantially reduce their IT expenditure and at the same time, become more agile. So it's a very interesting pipeline and engagements.
Operator: The next question is from the line of Yiwei Zhou from SEB.
Yiwei Zhou: I have 3 and do one at a time. And firstly, Andre, could you maybe talk about your expectation for Netcompany Banking Service the future growth potential? And what is embedded in your long-term target? And also in this context, I realize that you have lost this local bank alliance in Norway earlier this year. And what is the time line for phasing out its [ 10 ] member banks?
André Rogaczewski: Well, I cannot go into the specifics about the Norwegian market and what we're doing there. But I can tell you what the strategy is, and it's indeed quite simple. We have already modernized the kernel of the banking system, and we're now adding our platforms and our services on top of that. And we will gradually be introducing more and more automization and AI into our services. Now looking at the acquisition, I think it's -- looking at the numbers as well, I think it brings out clearly that there's synergies to be had. But at the same time, we'll also be making sure that our time to market will go down, and you will see much more automization coming out of our service lines. And that's where -- this is where -- that's what we're going to do to our existing customers, but we'll also do it in a modernized way. So new customers do not have to invest into the entire banking platform in order to benefit from our service lines. And that's as far as I can go with our expectations on that.
Yiwei Zhou: Okay. Fair enough. And in this context and a question on your cost synergy. If I calculate correctly, the DKK 300 million to DKK 350 million cost synergy, it will lift your EBIT margin for NBS quite significantly, probably to more than 20%. And I understand a lot of that will be driven by your productivity and efficiency in the software development. And would you consider to pass some of those gains to your customers? Or do you see the need for it?
Thomas Johansen: When we've made the agreement with the banks, the agreement was that we would deliver a couple of things to the banks, and that's why they were willing to let us take over SDC. First of all, we would deliver better products faster. We would deliver new innovation, and we would deliver capabilities within artificial intelligence. Now we will also develop and deliver that at running costs that are lower than what they have historically been paying to SDC. So the synergies that we are mentioning here is net of that. And you can view the synergies as impact on net profit or profit before tax. But since the transaction is also opening up for depreciation on the assets [Audio Gap] then there's DKK 220 million in safe taxes to be offset. So you can view the DKK 300 million to DKK 350 million way as additional profit for the Netcompany Bank Services Group.
Yiwei Zhou: Okay. And can you please talk about the revenue stream from the banking customers here to NBS? And I understand from one peer that a part of the revenue is coming from the platform and also part of that coming from the sort of commercial projects. And I was wondering if you can also talk about if the price for those commercial projects are already fixed under your current contracts or long-term contracts with the banks.
Thomas Johansen: We cannot disclose any of the details in the agreement we've made with the banks. And I think you're going to appreciate that. First of all, we've agreed with the banks not to do so. And second of all, we think that's for our privilege to have. Now we will go more in details with Netcompany Banking Services on our Capital Markets tomorrow, including what kind of services we are going to deliver, how fast we will deliver them and what the change will be to the customers of Netcompany Banking Services having paired up with a professional IT provider rather than an internal IT department of a bank.
Yiwei Zhou: Okay. Now looking forward to the section tomorrow. Last question here in relation to the bank merger earlier this week. And how do you view this impact on the Danish banking IT market? Do you expect this [ ARC ] Bank and its chosen of their IT vendor will change the competitive landscape?
André Rogaczewski: Well, we certainly welcome the landscape of delivering banking services in Denmark is going into a more dynamical character. Every time we see that type of development, if you look at the business case calculations for merging banks or acquiring banking services, the IT part of that calculation is always very significant. And in that sense, I think sticking to our strategy that I mentioned before, being able to deliver faster, more modern and in a cheaper way will position us -- position us perfectly in that market.
Yiwei Zhou: Okay. And would you see any opportunities or even risk to your business in the long-term?
Thomas Johansen: In what way to our business?
Yiwei Zhou: Any opportunities?
André Rogaczewski: Well, obviously, when the market becomes less static and when everything is more about how to deliver the right services at the right cost, our modular approach and having the most modern technology with less cost is absolutely attractive. So yes, we see a lot of opportunities in a less statistical market.
Operator: [Operator Instructions] And next up, we have Poul Jessen from Danske Bank.
Poul Jessen: A few questions. You write in the report and you earlier said that the integration is ahead of plan. Can you give a little more color in what way it's ahead of plan because you haven't seen and you don't guide any synergy impacts for this year?
André Rogaczewski: No. I mean, surely, that means that we've had some months, quarters to learn each other, learn the organization and figure out how to organize ourselves. And that is in place. Plans are in place. We are executing upon the plans. And when we look into that, we can see we are ahead of our schedules. And by the 1st of January, we'll have SDC moving into our headquarters. And we've already established teams and development efforts and everything has been set into a new setting, and that's happened before we actually scheduled it. So that's good to see.
Poul Jessen: And some Danish media has been writing or having focused about unions and the potential synergies. How is that evolving?
André Rogaczewski: Well, we have a very constructive dialogue with all the unions in Denmark, and we will continue to do so, and I expect that we'll find a solution in some way.
Poul Jessen: Okay. And then finally, looking ahead on your long-term ambitions. You've launched VERÁ this week, the state solution. When you give the long-term margin guidance, how should we look or maybe that's more for tomorrow. How should we look at license income being part of the guidance here?
André Rogaczewski: Well, the more vertical products we launch and good examples of that is VERÁ, but also Estate. Obviously, when we launch the more verticalized versions of our platforms, we will also be incurring a license towards the customers selecting those solutions. But -- not going into more further details of our expectations, I don't think we can do that.
Thomas Johansen: What we can say, though, Poul, is that the long-term targets that we have set is based on the Netcompany that you know. And then we are in a transition, as Andre is mentioning, to launch more verticals. And that means at one point in time, we will also see significant uplift in our ability to charge licenses for the products and platforms that we offer. The target of 20% in EBITDA margin by 2029 does not assume that there is a significant uplift in licenses. That will come on top -- so that will come on top.
Poul Jessen: Okay. And when you look at -- when we talk about VERÁ and Estate and then compare it with the speed that we have seen on AIRHART on the ramp-up there, have you taken a more cautious view on getting into these new verticals than what initially was communicated about airports?
André Rogaczewski: Well, I think we've all learned from the developments in AIRHART. It's the same type of technology platform. It is a strategic decision to select our platform and product in this sense. However, we also see that it can be utilized in smaller settings than a complete airport. So we'll be offering it to both selected institutions, but also entire countries or geographies, so to speak. So -- we've been cautious in the way we've been approaching it. But at the same time, we think we have a solution that is very adequate for supporting European countries and institutions and vital enterprises in having a clear view of their assets and how to protect them.
Operator: And next up, we have a question from Anders Vollesen from Jyske Bank.
Anders Vollesen: I have 3 questions. I'd also like to take them one at a time, if that's okay. So the first one, I just noticed there's no material license revenue in Q3. I was just wondering if you could give any guidance on how we should think about that going into Q4, if there's anything pent-up or waiting there?
Thomas Johansen: Well, thanks for that question, Anders. And you know the answer to that, and that is that we cannot give you any specific guidance into Q4. So we've narrowed the range, and we expect a top line of 6% to 8%, and we expect a margin of 16% to 18%, and we are comfortable that we will end in that range.
Anders Vollesen: Fair enough. Second question and third actually goes to NBS. Can you tell us anything about how we should think about the phasing of the cost synergies that you've put out today in NBS? Is it like linear? Or is it like a big ramp-up here in 2026? Just yes, I guess, a housekeeping question.
Thomas Johansen: It will be a gradual realization of those synergies, and we'll go more in detail with that tomorrow. But you can assume there's going to be a gradual realization of cost synergies over the next 3 years, '26, '27, '28.
Anders Vollesen: Okay. Great. And then the final question. So when I look at the [ AvanesLands Bank ] transaction, obviously, there will be a winner and a loser on the bank platform side. Would you have an appetite in merging or acquiring the "losing sites" sort of and would you see yourself as a better fit than a potential bank data BC merger?
André Rogaczewski: Well, we are -- we will always be a relevant player in any type of competition, and we actually believe that we have relevant services. And of course, we will be ready if that should occur.
Operator: And we now have a follow-up question from Yiwei Zhou from SEB.
Yiwei Zhou: Again, I have 2 more questions here. Firstly, on this tax impact from the SDC acquisition. And you mentioned this DKK 220 million tax asset can be used for tax deduction. Thomas, if you can elaborate a bit how should we expect it to face over this 7-year period? Would it be sort of upfront loaded or will be smooth spread out? And also, if you can also talk about this cash impact?
Thomas Johansen: So the tax depreciation of the full purchase price, the DKK 1 billion is what gives the DKK 220 million. So that's safe tax, and that will be realized over a 7-year period. That's the depreciation method used for taxable depreciation on intangibles. So it will be realized gradually. And that means that for all practical purposes, 1/7 per year, which will have a positive cash impact in that year.
Yiwei Zhou: In terms of reduced tax...
Thomas Johansen: Yes, reduced taxes.
Yiwei Zhou: Okay. And the cash flow should be 1:1 -- the cash flow impact.
Thomas Johansen: Yes.
Yiwei Zhou: Great. And then next question is regarding the JN Data. Now you have sole ownership. And I was wondering, over longer term, if the banks or if you have more bank customers, I mean, the data hosting is a large part of the business. Would you consider to add more or operate data center? So would you be required by the customer to do that?
Thomas Johansen: I think in any aspect, JN Data is hosting all the applications right now on behalf of Netcompany Bank Services, and we are happy with that, and our customers are happy with that. Of course, going forward, in terms of what the future will look like, we will have to discuss that, first of all, with our customers of Netcompany Banking Services and with JN Data in the commercial negotiations that we have in terms of how the future will look.
Yiwei Zhou: Okay. So we cannot rule out when do you have to invest in the data hosting business? I guess it's very, very small exposure you have today.
Thomas Johansen: Yes. I don't think that you should think of Netcompany building data centers, if that's your question. That's not the same to say that we don't have investments in servers, but the physical data center is something different.
Operator: And next up, we have Aditya Buddhavarapu from Bank of America.
Aditya Buddhavarapu: So firstly, at the Q2 results, you had spoken about seeing an impact in Denmark because people are spending time on product development and the SDC integration and that is expected to reverse in H2. So could you just give an update on how that has progressed during Q3? How much of -- maybe that was to growth? Second, Norway, as you said, growth is weak due to a weaker market. Could you just talk about what's happening there and maybe how some of the contract wins you had there could help to drive growth in that segment in Q4 and into next year?
Thomas Johansen: If I take the first question, then Andre can add on to Norway. So in connection with Q2, we said that in Denmark, we had for the first half of 2025 utilized, roughly speaking, 100 people in 3 different buckets equally distributed on work related to the integration of SDC, increased business development, i.e., sales activities, specifically within large public and private engagements. And then the last 1/3 used for product development in terms of making sure that different features and capabilities were put into most notably the solutions, AMIs and SOLON. And then we also said that we expect this over usage of resources from Denmark to normalize through second half and that it would be an even normalization throughout Q3 and Q4. And that is what we have seen so far. So we are seeing that normalization and expecting that to come to full fruition during Q4.
André Rogaczewski: Yes. When it comes to your question about Norway, the market in Norway is specifically soft. There's also some timing issues in that, also looking at the government spending. However, we have some solid customers there, and we continue our business, and then we are ready for -- to embrace the next pickup in the market space.
Aditya Buddhavarapu: Understood. And maybe just one follow-up on the U.K. You saw a very strong growth in that market. Can you just talk about the pipeline there and also what could help drive growth again into Q4 next year in U.K.?
André Rogaczewski: Yes. The U.K. is -- the U.K. results are -- and you can see that they are actually -- they're coming from 2 sources. One is our existing customers who are buying more under existing framework contracts. And the second phenomenon is that we're actually penetrating the U.K. with more and more platforms -- platform-based projects and the awareness of Netcompany is growing also in the public sector. And the win in Scotland with the EME platform is also one of the strategic kind because we're using one of our platforms for creating Digital Post and what relates to that. So it's the result of a long, say, long tedious and patient buildup of pipeline. And yes, we are happy to see that it's actually materializing.
Operator: And next up, we have a question from Mads Quistgaard from DNB Carnegie.
Mads Quistgaard: I will take them one by one. So first, some bookkeeping questions. If you want to find a pro-forma 2024 adjusted EBITDA number for SDC, would it be fair to take the Q3 number of DKK 26 million and then multiply it by 4? Or is there any seasonality in SDC? Would be my first question.
Thomas Johansen: And there is, unfortunately, a little bit of seasonality, Mads. So it's difficult to just take 1 and multiply by 4. So I wouldn't recommend that. There are certain things happening both in '24, but also in the first 2 quarters in '25. So it becomes blurry if you do that.
Mads Quistgaard: Okay. But I guess given there's an IT company, Q4 tends to be stronger. So it would be a fair assumption to also here assume that Q4 is stronger in SDC compared to Q3?
Thomas Johansen: That's a fair assumption.
Mads Quistgaard: All right. Then I have a question on the revenue because I see in the report that you're right that most of the revenues in SDC is based on a time and material basis. But I recall from the 2024 annual report in SDC that you have a strong backlog, and it is recurring by nature. So can you maybe talk into revenue, even though it is a [ TMT ] basis, is this recurring by nature?
Thomas Johansen: It's recurring by nature, and it's also not uncapped. So it's also by nature, what you would call fixed fee. But the contract is structured as T&M in terms of how we are remunerated for the effort. But it is recurring by nature, and there's also in the contract agreements in terms of what's going to happen over the next coming years.
Mads Quistgaard: Great. And then on the CapEx, I understand your point with R&D capitalization, but how should we sort of view it going forward, Thomas? Is it fair to assume it to be, let's say, DKK 20 million per year? Or is it run rate closer to DKK 50 million? I think you capitalized what is DKK 120 million on a full year basis in Netcompany Group and then Intrasoft. So how to think about it?
Thomas Johansen: I think to think of -- 2 things. So capitalization, think of that on a run rate of somewhere between DKK 100 million and DKK 130 million for the group, all up. And in terms of CapEx, so traditional investment in servers and other traditional CapEx, that is typically somewhere between DKK 50 million and DKK 80 million on a historical basis. And that will come in different waves. From time-to-time, we need to invest in server capacity. And from time-to-time, we need to invest in other capacity, which makes it not even. But if you look at the investments so far historically, then you come to a run rate of, yes, somewhere between DKK 50 million and DKK 80 million, I would say.
Mads Quistgaard: Okay. Final question, coming back to the consolidation. So just to understand the industry, so the ongoing consolidation, we also expect in the future, is that a risk or opportunity? Or is this a more end user again, hence, less important if banks continue to consolidate? That will be my final question.
André Rogaczewski: I think the consolidation is definitely an opportunity. Any change in the static environment of the banking market is welcomed by us. And as I said before, the IT cost and the agility and time to market are really, really important parameters when rearranging the ownerships. And I think it's fairly underestimated how much the modularization of services will impact the market. There's going to be a lot of modules that you can use across the data centers. And furthermore, I think AI will really penetrate this market over the next 2 years. So it's definitely an opportunity for us because it opens up the horizon of what is possible and it leaves the static nature of always utilizing the same vendors over and again and again.
Mads Quistgaard: Fair enough. It was just more to understand that we were above 200 banks in the '90s, we are around 50 banks today in Denmark, and there seems to be ongoing consolidation. And just to understand the financial IT service providers have still in the meantime been able to lift their revenues substantially. So it seems to me as this is more like an end user game that it is a consolidation that is driving the top line in the financial IT service providers. That was more the question.
Thomas Johansen: I think that if you look at the total spend on IT for those banks that have been reduced substantially, IT spend has exploded. And that's because it has been run by internal IT departments that have not had as their core business to do IT projects, digitalizations and the likes. And we are biased here, but we believe that we are better to do that. And therefore, we're quite certain, as Andre is alluding to, that it will be an opportunity to Netcompany and Netcompany Banking services for sure.
Operator: And next up, we have an extra question from Poul Jessen from Danske Bank.
Poul Jessen: I don't know if you heard it because it just said unmuted now.
Thomas Johansen: We didn't hear it, Poul. So I'm quite sure it was a great question. Can you please repeat it?
Poul Jessen: No, it's for Andre. When you launched the VERÁ solution, then you let person quote you for saying that PULSE and similar solutions could account for 20% to 30% of revenue somewhere in the future. Based on estimates now that would then be DKK 2 billion to DKK 3 billion. I was just wondering, could you put a little more color on what you actually meant and what is the starting point? Is it already close to DKK 2 billion coming from those? Or is it all platform aggregated? If you could put a little more question on that -- not question, comment on.
André Rogaczewski: Yes. What I meant there is that real-time orchestration and digital twin solutions will be a big part of what IT industry is going to be delivering in Europe over the next future or years to come. And that goes because that is happening due to -- because of several reasons. One is that the amount of sensors and the amount of areas where you've digitized something that can be connected to a real-time engine has just been rising over the last 3 or 4, 5 years. And then, of course, also the geopolitical situation we are in. So you will see a lot of companies being able to monitor their assets in real time. And that is great from an optimization point of view to drive your business more efficiently. This was not possible before, where it was much more about administration, orders, invoicing, economy, financial control. Now we will see a lot of things happening in the operational part in a real-time orchestration of businesses. And that will happen both from an optimization point of view, but it will also happen in regards to the geopolitical situation we are in at the moment. So yes, I do believe that 20% to 30% of solutions being made in the near future are going to be much more related to that than just financial automation or classical administrative IT systems.
Poul Jessen: So in your context, then we are talking about products...
André Rogaczewski: Yes. That's the platform we are using for that, yes.
Poul Jessen: And where are you today? Just to have an indication, is it a doubling or is it plus 30%? Or is it a tripling that you're talking about when you say 20% to 30%?
Thomas Johansen: We don't have that information disclosed, Poul. So we cannot give you where we are today. We are not at 0, and we are not at 20%, 30% as of now. But what we are seeing that any new project that we are embarking on in Netcompany is based on one of the products or platforms that we have. And that means that when we grow, we grow on products and platforms. And then we have some ongoing solutions that we also manage that will gradually move to those products and platforms also. So it's a phasing thing, which will happen over the next, as Andre say, a couple of 2, 3 years, and then they will expand from there on.
Operator: As there are no further questions, I will hand back to the speakers for any closing remarks.
André Rogaczewski: Well, thank you, everyone, and have a wonderful day.